Operator: Ladies and gentlemen, thank you for standing by. Good morning, and welcome to Ayro Inc. Third Quarter 2023 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call through February 21, 2023. I would now like to turn the call over to Joey Delahoussaye of Core IR, the Company's Investor Relations firm. Please go ahead, sir.
Joey Delahoussaye: Thank you, Jason. Good morning and thank you for participating in today's conference call. Joining me from Ayro's leadership team are Tom Wittenschlaeger, Chief Executive Officer; and Dave Hollingsworth, Chief Financial Officer. During this call, management will be making forward-looking statements, including statements that address Ayro's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from these statements. For more information about these risks, please refer to the risk factors described in Ayro's most recently filed annual report on Form 10-K and subsequent periodic reports filed with the SEC and Ayro's press release that accompanies this call, particularly the cautionary statements in it. Today's conference call includes adjusted EBITDA, a non-GAAP financial measure that Ayro believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss, its most directly comparable GAAP financial measure, please see the reconciliation table located in Ayro's earnings press release, which is available on its website at www.ayro.com, under the Investors tab. The content of this call contains time-sensitive information that is accurate only as of today, November 21, 2023. Except as required by law, Ayro disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to CEO, Tom Wittenschlaeger.
Tom Wittenschlaeger: Thanks, Joey, and good morning to everyone on the call. The third quarter's milestones have marked the beginning of manufacturing and sales of the initial AYRO Vanish units. At the time of our last earnings call in August, we were waiting on final testing and homologation results. Well, I'm happy to say that we successfully completed all elements of testing, involving product safety and emissions. Since then, [Audio Gap] had received all requisite certifications that allowed us to transition into low-rate initial production, or LRIP, of the AYRO Vanish with full confidence in the third quarter. We've already placed the first handful of units from LRIP with potential customers, distributors, upfitters and potential strategic partners and will continue to do so for the remainder of 2023 with additional units produced in LRIP. The purpose of these strategic placements is to leverage the initial Vanish units produced with potential customers that have what we deem to be the highest potential for purchase orders in early 2024 and beyond. We firmly believe that the best way to see and appreciate the advantages of the Vanish over competing low-speed electric vehicles is to have access to one or more Vanish units and to immerse it in a working environment for sufficient length of time. We believe that Vanish drives and handles in a manner unlike competing vehicles with technological and ergonomic advantages and has unparalleled payload flexibility in the class. Prospective partners, customers and regional business executives that participated in our test drive event held here in October at our Round Rock headquarters, were able to get a sense of Vanish's unique advantages and our team is following up on those interactions. It is important to realize that the Vanish units being produced in LRIP fall under what's called prototype pricing. This means that select machinery and equipment currently being used to produce the Vanish components are different than what will be used once we enter full scale production. Generally speaking, tooling and methods used in prototype production are less expensive than those used in full production as the purpose is not necessarily to produce units in a cost-effective manner, it is to produce a minimal quantity of the finished units with minimal upfront equipment or tooling costs. This also means that the components being used in our LRIP phase generally cost more than what's expected for full production. This two-stage approach for manufacturing is quite typical in the automotive industry, in order to defer the cost to tool up dies and molds and so forth in preparation for full production. In our case, the transition from prototype equipment, components and cost structures to full production equipment, components and cost structure is expected to happen near the end of 2023 and into the first quarter of 2024. This means that the underlying cost of goods sold for each Vanish unit should decline substantially from the current prototype cost structure to a more appropriate and more profitable cost structure as production ramps. Gains from the use of production tooling, along with volume leverage and manufacturing learning curve improvements should allow us to produce more profitable vehicles in each subsequent quarter as we progress with production. Under this general road map and assuming no major disruptions in our supply chain, we believe we can reach breakeven during the second half of 2024. In addition to completing homologation and entering LRIP, we also reached another major corporate milestone in the third quarter with the recognition of first revenue from the AYRO Vanish. Cruising Kitchens, one of our food and hospitality upfitters, officially took delivery of a few of the very first Vanish units towards the end of the third quarter. As I've discussed for quite some time, the ability to install hot and/or cold boxes as a payload option opens up a very large market in the hospitality industry. We believe we will receive more orders targeted for the hospitality industry to go along with the orders targeting the campus, arena and last mile environments. Whether it be with our standard flatbed configuration that is the base option of Vanish, a traditional encapsulated pickup bed or a powered or unpowered box configuration, as typically seen in the hospitality industry, the Vanish addresses a very, very wide range of applications across many industries. In addition to offering traditional purchase options of the Vanish units, we're also receiving inquiries about lease options. Notably, these inquiries are coming from corporations that may want a fleet of Vanish units on their campuses for a myriad of uses. Thus, we're trying to accommodate such potential customers with acceptable lease structures for all parties. At Ayro, flexibility doesn't just apply to our payload ability as we are more than happy to help corporate clients find ways to buy a fleet of Vanish units. We expect to have more to say about corporate interest down the road. On the intellectual property front, we continue to be awarded design and utility patents, including four that were awarded in the last 90 days. Our team's innovation and creative foresight continues to be exemplified through these patent awards. And we believe our growing IP portfolio will ultimately create a sustainable advantage over our peers in the LSEV space as well as adding enterprise value to Ayro's core business. With respect to our product road map, we expect to resume the development of our next vehicle offering, the people mover we call the Valet and the sleek personal transport vehicle, or golf cart, if you want to call it, called the Vapor, in 2024. Turning to the financial results for the third quarter of 2023. As I mentioned previously, we recognized our first revenue from our new Common Core Chassis platform [Audio Gap] the Vanish. Furthermore, all revenue moving forward will be from the Vanish, its modular payloads and any subsequent vehicle designs based on that new platform as the Company's Club Car Current inventory has been depleted. The cash burn in the third quarter was consistent with the prior couple of quarters. And given the financing in August, our cash balance at the end of the third quarter was $47.9 million. We consider the current cash balance to be more than sufficient for us to reach breakeven, which is anticipated in the second half of 2024. This concludes my opening remarks. Now I'd like to turn the call over to Dave Hollingsworth, who will review our financial results in more detail.
Dave Hollingsworth: Thanks Tom, and good morning, everyone. Here is a summary of our third quarter 2023 financial results. Revenue for the quarter ended September 30, 2023, was $88,395, a decrease of 76% year-over-year. The sales recorded in the third quarter of 2023 represents the initial sales of the completed Vanish units. The total operating expense for the third quarter of 2023 were approximately $6.2 million as compared to approximately $5.8 million in the third quarter of 2022. The year-over-year increase in total operating expense was due primarily to our transition from a largely engineering effort in 2022 to full-time manufacturing here in 2023 as well as expenses related to the August private placement. Adjusted EBITDA, a non-GAAP measure, for the third quarter of 2023 was a loss of approximately $5.2 million versus a loss of approximately $4.8 million in the third quarter of 2022. Net loss attributable to common stockholders for the quarter ending September 30, 2023, was approximately $14 million -- $14.2 million, including approximately $8.5 million in noncash expense related to our August private placement versus a net loss of approximately $5.7 million in the year ago quarter. Cash and cash equivalents, marketable securities and restricted cash as of September 30, 2023, was approximately $47.9 million versus $48.9 million at the end of 2022. Total debt was zero as of September 30, 2023, as it was at December 31, 2022. As of September 30, 2023, the Company had 4,890,137 common shares outstanding. That concludes my prepared remarks. I'd like to turn the call back over to Tom for any remaining comments.
Tom Wittenschlaeger: Thank you, Dave. We look forward to completing LRIP and beginning the transition to full production, which we expect to occur by the end of 2023. We further expect to begin announcing first orders into a plurality of application verticals within the next four weeks. Now I'd like to turn the call over to the operator so that we can begin the question-and-answer session. Operator?
Operator: [Operator Instructions] The first question comes from Brian Lantier from Zacks Small-Cap Research.
Brian Lantier: Tom, I was wondering if you could just provide a little bit more color around the test drive events. Were there any particular concentrations of customers, verticals that were represented? And any particular interest that -- where the Vanish sort of stood out to those customers?
Tom Wittenschlaeger: Good morning, Brian. And our test drive event, every one we do is always very, very interesting because customers come to understand that there's just a massive difference in product quality, component quality, vehicle performance, vehicle payload, all those things. So the people who were here at our last test drive event, which was several weeks back, were largely fell into the distributor category, fell into the large corporate category who want to have vehicles for their corporate campuses, replacement vehicles for their corporate campuses. And then just a number of folks who had general interest to see sort of the directionality of what we're doing from a technical and from a product point of view. In terms of a large corporate folks, most of their interests were having a vehicle that was -- could handle real payloads. Obviously, they really like the fact that it performs well, it drives well, it drives well empty, it drives well loaded, it has good acceleration, excellent breaking, all of those kind of things. And for new corporate campuses, those kind of things are nice. The other nice thing for new corporate campuses, obviously, they like the way the vehicle presents itself, the styling and the panache the vehicle has, which is very different from a converted golf cart. So we saw interest in all of those dimensions, Brian. And interestingly enough, we're also -- we expect to see our first orders from a bunch of those large corporate entities before the year is out, at least that is the interest they expressed to us during the ride and drive event.
Brian Lantier: Okay. Great. And could you flesh out a little bit more, I understand the -- putting the product into distributors' hands. I think that's a good strategy going forward. But if you could talk a little bit more about sales and marketing as we go into 2024 and what the plan looks like?
Tom Wittenschlaeger: Sure. Well, look, we've said before that we kind of have a four-pronged approach to the marketplace. So first of all, we have one of our four channels to market as dealers and they are dealers who have a need for a utility LSEV that can carry real payload and that has real quality, so they're not rolling the fleet every two or three years. So the dealer channel is one of four important channels. The next one is the upfitter channel. So that's folks who take our platform and turn it into a food truck, turn it into a tool truck, turn it into a campus truck, turn it into an inside distribution truck. So these are folks who do conversions on a common platform. And again, what they seek is, they seek electrification for the purpose of having a vehicle that emits nothing, for purposes of having a vehicle that is very, very torque. Torque is important for heavy, heavy loads and, of course, having a vehicle that's quiet. So that's prong number two. Prong number 3 is the direct-to-consumer channel. So that represents sales on our website, direct-to-consumer shipment from a dealer location. In our case, that would be from the state of Florida because of state of Florida allows direct sales to consumers. And that's channel 3. Channel four is kind of -- you would call it the governmental large fleet usage channel. And that's where, again, because these vehicles are very quiet and very powerful and strong, they're kind of ideal in a great many government applications, whether we talk about military bases or we talk about airports or we talk about overseas installations or domestic installation. So those are our four channels. We have very, very high-quality channel partners in all of them. And the question you asked about is because we don't want to build too many units on LRIP because we'd like to get our production process dialed in so we can go to production tools and bring the cost of goods on each vehicle down to boost profitability, we want to take those first LRIP units, which are more expensive than production units, and place them in a way that gives us the most leverage going into 2024 for production sales once we ramp to full production. Hope that makes sense to you, Brian.
Brian Lantier: It does. I guess, and this is sort of the nature of the business, as your just now with Vanish, but unfortunately, I have to ask is the road map still the Valet then the Vapor or have you any thoughts on that? And what does the timeline look for when we'll first see one of those products in 2024?
Tom Wittenschlaeger: So the road map is exactly that order. It's the Valet, so it's the people mover version of the Vanish. And then the Valet will be later in 2024, which is -- excuse me, the Vapor will be later in 2024, which is, of course, our -- you could consider our personal transport vehicle, or PTV, or you could even call it our high-quality golf cart, although it most assuredly is not a golf cart. So long story short, the Valet will be next for the simple reason that the Valet is nothing more than a frame modification to the Vanish. So we take the Vanish, we insert what you would think of as a U-frame section, you could call it, Brian, a footwell section and on both sides of that footwell section, we mount seats. So it's a very, very modest adaptation of the Vanish, which makes it easy -- well, makes it relatively easy and relatively low cost to launch as our next platform. It's also interesting to note that we've seen tremendous interest in having a premium people mover from people that run premium properties, people that shuttle VIPs around, people who have corporate campuses with corporate executives. So the Valet is next and the Valet will debut at the PGA show the third week of January in Orlando. So you will see there not only the Vanish, but you will see the Valet there in the flesh. And of course, we will show design imagery of what the Vapor will be later in the year.
Brian Lantier: Okay. Great. And if I could just follow up with one question for Dave. The conversion price on the preferred shares and the warrants is that $2 now?
Dave Hollingsworth: It is. It was ratchet down to $2.
Brian Lantier: All right. And when we talk about gross margin breakeven per unit in 2024, just a ballpark estimation of what that means in terms of capacity utilization? Would that be when you're at 70% capacity in the plant or is it at 35%? I'm just trying to get an understanding of what level of sales we should be looking at before we see that breakeven realization?
Dave Hollingsworth: We're forecasting about four vehicles per day right now with the capacity of what we believe to be nine vehicles with a fully staffed, fully running production line. So I think that's close to the answer I can get you right now. Of course, it will take some time to ramp up to that. But that's what we're expecting in 2024.
Tom Wittenschlaeger: Brian, [indiscernible] factory capacity approximately.
Operator: The next question comes from [David Party], Private Investor.
Unidentified Analyst: I had another question regarding that breakeven calculation. So you're saying four units a day, is that based on limitations as far as your production or what you're seeing as far as demand in the marketplace?
Tom Wittenschlaeger: Well, it's -- so the demand we see in the marketplace is substantially larger than that. For us, when you go from LRIP into full production, the thing that you have to master every time, and it's different every time you do it, is ramping the supply chain to have all of those parts arriving as near simultaneously as possible. And so when you're ramping a supply chain and while you're getting smarter and smarter and more used to from a learning curve perspective, the building process of these units, you ease into it in a way so that you don't end up with -- as Ford did a while back, you don't end up with a ton of inventory sitting on your lap waiting for one piece come in, right? So ramping up to that is really mastering some synchronicity in the supply chain, which just takes very, very -- takes an amazing amount of attention to detail and is the reason that you like to ramp in a controlled fashion rather than just jumping to a higher level.
Unidentified Analyst: Okay. So you've got even greater demand, but you're just being careful in making sure that all the parts are available and you have all the processes dialed in so that you can continue to ramp up. That sounds good. Will the Valet and the Vapor have to go to the same homologation process or do they kind of piggyback because of the same platform of what's already been done?
Tom Wittenschlaeger: Well, my guess is that clearly, the Valet will be a piggyback situation. It is literally -- from a parts perspective, the parts on the Valet are identical to the parts on the Vanish, literally. The only modification to the Valet is the insertion of a frame section and the shortening of some body work, that's it. So I believe that, that will clearly be a piggyback. On the Vapor, we just have to see. Again, the Vapor will also be absolutely identical parts. So the same motor and the same controller, same wheel, same tires, same everything. But because I'm not certain what the answer to that is, I'm simply going to say we're going to find out for the Vapor. But for the Valet, I would expect it to be a big piggyback.
Unidentified Analyst: Okay. So could I ask another question?
Tom Wittenschlaeger: Sure. [indiscernible].
Unidentified Analyst: So this breakeven you're just talking about the Vanish, not these other units and that -- is that correct?
Tom Wittenschlaeger: Yes. That's right.
Unidentified Analyst: So when should we see substantial income or revenue from the Vanish? It sounds like maybe second quarter?
Dave Hollingsworth: Well, currently, we don't give out any projections on revenue, but we do expect a consistent ramp throughout 2024 as we build up our manufacturing abilities and dial in that supply chain like Tom was talking about. It won't be completely linear, but we do expect to see that ramp continue through the end of 2024.
Operator: [Operator Instructions] There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Tom Wittenschlaeger for any closing remarks.
Tom Wittenschlaeger: Well, I would like to thank all of you for participating on today's call and for your interest in Ayro. We look forward to sharing our progress on our next quarterly conference call when we report for year-end 2023 financial results likely in March of 2024. Thanks to all. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.